Operator: Good day and welcome to the Asbury Automotive Group third quarter earnings call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Matt Pettoni. Sir, please go ahead sir.
Matt Pettoni: Thanks operator and good morning everyone. Welcome to Asbury Automotive Group's third quarter 2018 earnings call. Today's call is being recorded and will be available for replay later today. The press release detailing Asbury's third quarter results was issued earlier this morning and is posted on our website at asburyauto.com. Participating with us today are David Hult, our President and Chief Executive Officer, John Hartman, our Senior Vice President of Operations and Sean Goodman our Senior Vice President and Chief Financial Officer. At the conclusion of our remarks, we will open the call up for questions and I will be available later for any follow-up questions you might have. Before we begin, I must remind you that the discussion during the call today is likely to contain forward-looking statements. Forward-looking statements are statements other than those which are historical in nature. All forward-looking statements are subject to significant uncertainties and actual results may differ materially from those suggested by the statements. For information regarding certain of the risks that may cause actual results to differ, please see our filings with the SEC from time-to-time, including our Form 10-K for the year ended December 2017, any subsequently filed quarterly reports on Form 10-Q and our earnings release issued earlier today. We expressly disclaim any responsibility to update forward-looking statements. In addition, certain non-GAAP financial measures, as defined under SEC rules, may be discussed on this call. As required by applicable SEC rules, we provide reconciliations of any such non-GAAP financial measures to the most directly comparable GAAP measures on our website. It is my pleasure to hand the call over to our CEO, David Hult. David?
David Hult: Thanks Matt and good morning everyone. Welcome to our third quarter 2018 earnings call. We are pleased with the results for the quarter. Some highlights are as follows. We achieved record adjusted EPS of $2.21. We grew total retail unit sales by more than 10%. We reduced SG&A as a percentage of gross profit by 220 basis points to 67.9%. And we increased income from operations by 16%. Our plan for the remainder of the year remains unchanged. We will continue to focus on the aspects of the business that we can control, specifically parts and service, used cars, F&I and overall expense management, while continuing to intelligently deploy capital towards the highest risk adjusted returns. Year-to-date, through October 22, we have deployed over $160 million of capital which includes $91 million on share buybacks and approximately $70 million on acquisitions. The three acquisitions that we completed this year have integrated well into our Asbury operating model and performance is in line with expectations. Our omnichannel investments are yielding strong results and the benefits can be seen in the record performance that we achieved this quarter. John will provide more details in a few moments. I will now hand the call over to Sean to discuss our financial performance. Sean?
Sean Goodman: Thank you David and good morning everyone. I would like to start with some color on the impact of Hurricane Florence on our operations in North Carolina and Virginia. Despite the intensity of Florence, due to our emergency readiness programs and some good fortune, we did not have any notable property damage. While our North Carolina and Virginia stores were adversely impacted, the overall effect on our consolidated results was not significant and we do not expect to see any upside on our Q4 results. As a reminder Q3 2017 was impacted by Hurricanes Irma and Harvey. This year, we implemented the accounting standard ASC 606 for revenue recognition. The impact in this quarter is not material. So overall, compared to the prior year third quarter, our revenue increased by 10%, gross profit increased by 7%, gross margin of 15.8% was 40 basis points lower than last year, SG&A as a percentage of gross profit improved by 220 basis points to 67.9%, operating margin of 4.6% was 20 basis points higher than last year, adjusted net income increased by 46% to $44.9 million and adjusted earnings per share increased by 49% to a record of $2.21. Net income for the third quarter of 2018 was adjusted for a tax expense of $0.03 per share associated with the IRS' recently issued guidance regarding Section 162(m) of the Internal Revenue Code. In Q3 2017. There was no non-core adjustments. Our effective tax rate was 25% for the third quarter of 2018, down from 38.7% in the third quarter of 2017. We continue to expect the full-year tax rate to be between 25% and 26%. We successfully managed our SG&A expenses during the quarter to achieve a 220 basis point reduction in SG&A as a percentage of gross profit. This is despite continued omnichannel investments which are on track to be in excess of $10 million this year. Note that last year's SG&A included costs associated with CEO transition charges and this year, we benefited from relatively favorable experience in certain employee insurance costs when compared to last year. SG&A as a percentage of gross profit for the nine months ending September 30 was 68.6%, which is 110 basis points better than the prior year. As a result of our success in managing SG&A expenses this year, we now expect SG&A as a percentage of gross profit to be slightly below 69% for the full-year. At the end of the quarter, our total leverage ratio stood at 2.7 times and our net leverage ratio at 2.2 times, thanks to our strong operating results and solid cash flow generation. While a 2.2 times leverage ratio is below our targeted range of 2.5 to three times, we believe that our leverage at the end of Q3 allows us to capitalize unexpected attractive future capital deployment opportunities while taking into consideration the economic cycle. As we think about the economic cycle, it's worth noting that almost 30% of gross profit is generated by the relatively stable parts and service segment of our business and that our SG&A costs are largely variable. We believe this business structure positions us well to effectively manage our costs and weather economic headwinds. Our investor presentation posted this morning show some further information as to how we think about leverage. We repurchased $17 million of our own shares in Q3, bringing the total share repurchases for the first nine months of the year to $57 million. Now, since the end of the third quarter, we have opportunistically repurchased an additional $34 million of our own shares, bringing our total for this year to $91 million, representing approximately 7% of the outstanding shares at the beginning of this year. Our remaining share repurchase authorization has been increased to $100 million and we are also productivity looking at attractive acquisition opportunities. Despite the same inventory days as last year, floor plan interest expense increased by $2.6 million over the prior year, driven by increases in the LIBOR rate. A reminder that our floor plan debt has a floating interest rate while all other debt is fixed rate. From a liquidity perspective, we ended the quarter with $7 million of cash, $43 million available in floor plan offset accounts, $107 million available on our used vehicle line, $237 million available on our revolving credit lines and we also have an incumbent real estate in excess of $200 million. I would now like to hand the call over to John to walk us through the operating performance in more detail. John?
John Hartman: Thank you Sean. My remarks will pertain to our same-store performance compared to the third quarter of 2017. Looking at new vehicles, while SAAR for the quarter was $17 million or 1% below last year, we focus on retail SAAR which was down 3% for the quarter. In this lower retail SAAR environment, we were able to grow our new unit sales 6%. Overall, our new car margin was 4.3%, 10 basis points lower than last quarter and 40 basis points lower than last year. This was driven by strong volume growth of imports, which are characterized by relatively lower margins. In addition, margins for imports declined due to aggressive incentive targets. Domestic margins were down because we underperformed in certain domestic brands, thereby missing some incentive money. Our total new vehicle inventory was $773 million. Our days supply remained flat from prior year quarter at 73 days. Turning to used vehicles. We are very pleased that we were able to increase our used to new ratio 130 basis points resulting in used vehicle unit sales increasing by 8% from the prior year. Our gross profit margin of 7.3% was up 10 basis points from both last quarter and the prior year. The successful deployment of our omnichannel initiatives and used car enterprise software helped us drive these results. Our used vehicle inventory of $150 million is at a 35 days supply which is consistent with the prior year. Turning to F&I. Our team continues to deliver strong results. Total F&I gross profit increased by 5%, with gross profit per vehicle decreasing slightly to $1,524. Turning to parts and service. Our parts and service revenue increased 2% and gross profit increased 3% despite an 8% decline in warranty compared to the prior year quarter. This was achieved with a 5% increase in customer pay. The improved used vehicle sales caused our reconditioning work within parts and service to increase by 9%. I would like to take a moment to give you an update on the progress of some of our omnichannel initiatives. Our centralized brand certified digital sales team currently supports 45% of our stores and we are ahead of schedule to onboard the remaining stores within the next 12 months. Stores participating in the program during this quarter increased digital sales by over 20% year-over-year. Our PUSHSTART online sales tool handled over 4,000 vehicle sales in the quarter, which is approximately 9% of our total retail units. We continue to grow the traffic utilizing our digital parts and service scheduling tool and for the quarter, online service appointments were up 34% from the prior year to an all-time record of 110,000. We are excited about our omnichannel driven growth and we are pleased that we have been able to invest in building our omnichannel capabilities while maintaining our SG&A discipline. In conclusion, we like to express our appreciation to all our teammates in the field and our support center who continued to produce best in class performance. We will now turn the call over to the operator and take your questions. Operator?
Operator: [Operator Instructions]. Our first question comes from Rick Nelson with Stephens.
Rick Nelson: Thanks. Good morning. Nice quarter. I would like to follow-up on same-store sales. Both new and used cars outpaced the overall market by a pretty significant margin. If you could discuss the drivers there? And any regional commentary, regional areas of strength or weakness would be helpful.
John Hartman: Hi. Rick, this is John. Basically we have had a real good focus on our used vehicles this year and we have really focused on using the software and I think our teams grabbed it and knows it. So I think that's really helped on the used car. On the new car side, we did have some lift year-over-year from the Florida markets, which were down a little bit last year. And how we look at the new vehicle market is, we really can't control the SAAR. What we try to focus on is beating the competition locally and just being ahead of the competition locally there.
David Hult: Yes. I would add to that, Rick. The omnichannel piece that we are working on, there's two connection from there between our strong teams in the stores connecting with the digital team here and both are really producing well. We are generating more traffic. We are converting at a higher rate and we are finding efficiencies in doing so. And that's only with 45% of the company and so we are excited about the future.
Rick Nelson: Yes. Thanks for that color. Just to follow-up on omnichannel. Any sort of timeline when you expect you are going to leverage those investments? Or in fact are you starting to leverage that investment now, that $10 million that you spoke of?
David Hult: Yes. We are pretty much mostly expensed with that for the year. We are very pleased with the results that we have seen so far. We do believe, from a unit perspective and somewhat to an SG&A perspective on our comp, we are seeing the leverage benefits of it, with only 45% and we continue to think we will get better.
Rick Nelson: Okay. And F&I per unit, it looks like that backed up a little bit. If you could speak to that and your expectations as we push forward?
David Hult: Rick, I think some of that has to do with the mix we have and increasing in our used vehicle retail, 130 basis points versus no. So we saw the finance penetrations just drop slightly and we have had some pretty solid performance in F&I for a while, but I see us maintaining that range of F&I.
Rick Nelson: Okay. And finally if I could ask about capital allocation and the acquisition environment. I think there is a chart in your new PowerPoint, the leverage chart is pretty interesting too. Where do you think we are within that band of the normal targeted range with some of those factors that you cite, for influencing the leverage?
Sean Goodman: Hi Rick, It's Sean. Good morning. So our charts show the equilibrium leverage range of 2.5 to three times and as I stated, our leverage at the end of the third quarter was 2.2 times and that reflects very strong results in the quarter. It also reflects the acquisitions. So we didn't do any acquisitions in the third quarter and we bought back $17 million of shares. It positions us very well for opportunities in the future. And you see that in the share buybacks that we have done at the beginning of the fourth quarter. Our average share price during the third quarter was around $72 and our average share price during the first three weeks of the fourth quarter has been around $62. And so in that period of that lower average share price, we have bought back $34 million of shares just in that three week period of time. And that's just an indication of the capability we have in our leverage ratio at the beginning of the quarter. And we are also looking at acquisitions that I think are exciting to us if they provide the right return. And there is a slide in our presentation about that as well, that we do look at each project standalone by itself on the risk and return characteristics and if the project meets the return characteristics given the risk profile then we would invest in that project.
Rick Nelson: Okay. Great. Thanks a lot and good luck.
John Hartman: Thank you.
David Hult: Thank you Rick.
Operator: Thank you. Our next question comes from Bret Jordan with Jefferies.
Bret Jordan: Hi. Good morning guys.
David Hult: Good morning.
Bret Jordan: In the prepared remarks, you talked about aggressive incentives on the import side impacting margins. Could you talk about the cadence of incentives and whether or not you are seeing that moderating? Or if we are still sort of seeing the volatility that we saw around the second quarter as well?
David Hult: Yes. I will try to answer that the best I can. The midline imports, we have got some manufacturers that have some pretty aggressive incentives. And what happens is, you really can't say, okay, we are going to dial back the volume and chase margin because everybody around you is chasing that incentive which drives the margins down. So I don't see a difference in the cadence coming forward.
John Hartman: I will also to that. When you think about our midline imports, everything is geographical as far as where you are located. We are predominate midline imports and then we have a lot of high-volume midline imports in very metro markets, which is very intense and competitive, which further pushed margin down compared to an import store the might sit in the Midwest.
Bret Jordan: Okay. And then on the SAAR cadence question, on the 5% growth in customer pay service, could you talk as far as ramping out, are there programs you are running to drive volume? Years ago, you used to run higher discounting. But is there anything that you are doing out of the ordinary? Or is that just particular strength in customer demand for service? I guess as the quarter progressed, did you see that changing, accelerating or decelerating?
David Hult: Yes. I would say, about two-and-a-half years ago, we implemented some software that was new to our organization that really clearly helped us identify where our areas of opportunity was, how the car was moving through the system because cycle time is such an important factor where the consumer from a point of deflection, meaning how quickly can you get them in and out. We are getting very comfortable with that software now and we are starting to see the benefits of it. It's a very competitive space. We focus on brakes, batteries and tires. That has never changed. And we are very focused on our customer attention and how we communicate with them. So from a digital perspective through text and via email, more so text now, more than anything, we are texting NPIs to customers and communicating that way and really focusing on selling the work that's needed and focusing specifically on safety item work. So I think that 5% has been steady but at times it gets a little frustrating because we see opportunities to grow certainly even more than that.
Bret Jordan: Okay. Great. Thank you. And I guess one final question. On a comparable basis, do you have feeling, I guess, year-over-year the hurricane impact, what did it cost you last year that maybe you didn't get the store closure days or anything this year?
Sean Goodman: So last year's hurricanes, Hurricane Harvey and Irma, we did announce in last year. When we had our earnings call, we announced the impact of that. I think it was around 1,000 cars that we missed out on selling due to those two hurricanes. The hurricane this year, while we did have store closures in North Carolina and Virginia, we had about four days of impacted sales in North Carolina and Virginia and maybe about two days in South Carolina, overall for the quarter, there was not a material impact on the consolidated results.
Bret Jordan: Okay. Great. Thank you.
David Hult: Thank you.
Operator: Thank you. Our next question comes from Jamie Albertine with Consumer Edge.
Jamie Albertine: Great. Thank you for taking the question and good morning and congratulations.
David Hult: Thank you.
Jamie Albertine: I wanted to ask, if we could, on a regional basis, if you saw and I understand luxury, you had units up, gross profit per unit up, but for imports and domestic, it was the opposite. So for import and domestic, were there any regions within your portfolio where units were actually higher year-over-year while GPUs worked higher?
John Hartman: It was pretty consistent, James, across the board. We were down a little bit in gross and up in units. So regionally, we didn't see a big, no fluctuation in unit volume.
Jamie Albertine: Got it. So industrywide, nothing specific to any regions are isolated impacts there. Great. And then second question I have is on technicians. You have been talking about for several years, I think now, a shortage for parts and service technicians. Where you seeing the best opportunity in terms of sourcing technicians right now? Is it coming from the aftermarket competitors? Or is it more straight out of trade schools of that nature?
David Hult: We try to take the technicians out of the trade schools, but we will take them from anywhere. We have got multiple programs going on to try to attract and retain our tech headcount. It's something we look at every week. We have got a lot of upside in fixed and really that's the challenge, just keep moving forward that we just need to increase our tech headcount. But it's not going to get any easier.
Jamie Albertine: Would you say to you are sourcing more recently from peers? Or does it feel like it's been pretty steady over the past few quarters?
David Hult: I think it's been pretty steady.
Jamie Albertine: Okay. And then last question on digital. You have a great slide on your advertising spend on your third quarter presentation. I wanted to understand if you could break out or delineate internal generated leads versus usage of third-party? And for the third parties, are there any names you would be willing to share in terms of where you are favoring right now, whether it's things like CarGurus or Auto Trader or so forth, if you would be willing to share that? Thanks.
David Hult: Yes. I would say, our mix hasn't changed. We are very efficient with our ad dollars spend. And naturally we value direct connect leads over a third-party. But we have tremendous third-party relationships. And it's a tough question to answer because some of those third parties are stronger in other markets and then weaker in other markets and then others that are weaker or stronger in those markets. But we are selective. We look at it every month. We look at what we are getting for our money and we look at the conversion rate. And we are constantly tweaking and making adjustments to it. But our main focus is building our own content and driving our own traffic for the higher conversion.
Jamie Albertine: So I guess as a follow-up to that last question, can you give us a breakdown of internal generated leads versus third-party and how that's trended over the past quarter or two?
David Hult: Yes. We have never shared that before and we really are not comfortable doing it now. And this isn't real helpful, but it continues to grow at a steady rate. But we certainly couldn't do without our third-party partners.
Jamie Albertine: Understood. Thanks again and best of luck.
David Hult: Thank you.
Operator: Thank you. Our next question comes from John Murphy with Bank of America,
John Murphy: Good morning guys. Just had a follow-up on incentives and pricing. I mean it sounds like the industry is getting a little bit more disciplined across the board, but it sounds like that on the imports, in certain markets you are having a little bit of an issue or they are having a little bit of an issue on pricing incentives. Is that because they are offsides on mix and have some of the wrong product for the market? They are sort of heavier in sedans? Or is this just sort of a competitive action that they are taking right now?
David Hult: I mean, to me, it's a little of both. I think it's a competitive action where the manufacturer wants to grab share. So they will put aggressive incentives out. And again, when you get into these stair-step or number related objectives, it's difficult and I have said it a couple of minutes ago, you can't decide, I am not going to chase volume while all the other local competition around you is chasing it because you wind up losing the business. So you kind of to go on and get into that game from the get-go to get the online.
John Hartman: But when you also think about imports and trucks, Nissan Rogues, Honda CRVs, Toyota RAV4, those are trucks and those are becoming, as you know, high-volume segments, but not a lot of margin baked into them in a very competitive space.
John Murphy: So you are actually, at this point, seeing some of those small crossovers and mid-crossovers become essentially like sort of the sedans you saw three to five years ago, just as far as the competitive environment and the margin that you are getting on them?
David Hult: Absolutely.
John Hartman: Absolutely.
John Murphy: Okay. Then a second question. Sean, you talked about attractive opportunities to deploy capital and it sounded like there is an expectation that things are going to get more attractive for deploying capital. I am just curious, is that sort of in the traditional channels of acquisitions where you see some of the privates getting more realistic around valuation? Or is there sort of something outside the normal bounds that we should be thinking about that you might be going after?
David Hult: Yes. This is David. I would say, in over 30 years of doing this and the cyclicality of it, from 2010 to 2017 the valuations were very high and the market was optimistic and the dealers were optimistic expecting to grow their business even more and they almost wanted to be paid on the multiple that they weren't even obtaining themselves. The benefit when it gets a little bit bumpy like this and what I have seen over the last three decades, whether I have been with a private group or a public group, the best people grow in bad times or tough times. And so we see this as a great opportunity if the SAAR backs up little bit or it gets a little bit choppy to acquire things at realistic rates. We were lucky. Our only differentiator, as we tell everyone, is our people. We have great people and we have a lot of them. So to grow and add at the right values really becomes accretive for our shareholders and we are excited about that opportunity.
John Murphy: Sort of contrary to popular wisdom, a bit of a slowdown in the new vehicle SAAR actually be a very attractive opportunity for you guys to grow the business?
David Hult: Agreed.
John Murphy: Okay. And then just lastly, just thinking about the SG&A levels, you are talking about a little bit less than 69% this year. That's fantastic performance, just hands-down regardless of anything and it's one of your better years. Is there more room on that to take cost? Or will that get better over time with leverage? Or do you think this close to 69% rate is almost as good as you can operate at?
David Hult: I am getting a little over my skis, John. So I will paint a picture that I can't answer today. But with what we have going on with our omnichannel, with where we see the business by 2022, 2025 and what that dealership model is going to look like, we do see opportunities to be more efficient at doing what we do today.
John Murphy: So we shouldn't think about it in the context of sort of the old school confines of high 80s to low 70s. There might be a whole sea change that's going on here over time?
David Hult: Yes. I think it's a couple years out, maybe a few years out, but I definitely think you will see a lot of industry change with SG&A, specifically around compensation.
John Murphy: Okay. Great. Very helpful. Thank you so much guys.
David Hult: Thank you John.
Operator: Thank you. Our next question comes from Armintas Sinkevicius with Morgan Stanley.
Armintas Sinkevicius: Good morning. Thank you for taking the question. With regards to new vehicle sales, it seems like there is a lot of -- mostly it was market share and coming from the import channel. Just curious if there were any specific manufacturers or just trying to think about drawing lines or conclusions across the industry here?
David Hult: Well, on the import side, I mean your volume manufacturers are basically Nissan, Honda and Toyota. And if you look at our percent of sales, we are driving 61% of our sales from that segment in the import segment.
Armintas Sinkevicius: Okay. But was it you taking share in those segments? As you mentioned, you couldn't dial back on volume, so did you make the push then on volume and find yourself taking share in those vehicles?
David Hult: We did. And the benefit of volume is, one, you get the F&I income on that. Two, you can feed your used-car inventory to retail used vehicles. And then you know as the UIO grows, obviously you are feeding your service and parts business in the future. So it's all benefits when you get share.
Armintas Sinkevicius: Okay. And then with the used car sales running strong as well, what's your view of the used car market this year? Do you think we are on record pace for used car industry sales? And how has October trended to-date?
David Hult: October is kind of as expected for October. Typically, the used car market is about 2.5 times what the new vehicle SAAR is, but I think it's a solid used-car market moving forward.
Armintas Sinkevicius: Okay. And then on the M&A environment, as you talk about potentially attractive acquisition opportunities, is there something you are looking at today or is it something that you are just waiting for and evaluating as they come?
David Hult: I will answer as best as I can this way. During the year of 2018, I don't think we have had a week where we haven't been looking at an acquisition. So it's fair to say we are looking at things now. We are excited about some things we are working on and the potential but like anything else, they are very complex to put together. So we are hopeful.
Armintas Sinkevicius: Okay. And would you think about tuck-in type acquisitions or something of large-scale?
David Hult: I think the answer is both. It really depends. When you think about going into a market you haven't been in before, other than the revenue you are buying and to me, more important than the revenue that you are buying, is you really need to understand how that business operates and how well it will fold into your organization and assimilate to what you have. Sometimes buying revenue isn't necessarily a great thing for a company if doesn't work or mesh well together. So we are very focused on how they operate. Is it a good fit for us and is there a win-win for us and the dealer partner. Tuck-in opportunities, we look at tuck-ins as they come up and surely want to take advantage of them. But we also think that tuck-ins are good time to look for broken stores because you tend to have scale in those markets and you can really support them well with your brand name.
Armintas Sinkevicius: Okay. Great. Thank you so much.
David Hult: Thank you.
Operator: Thank you. Our next question comes from Chris Bottiglieri with Wolfe Research.
Chris Bottiglieri: Hi. Thanks for taking the questions. A couple of follow-ups. I guess my first one on the insurance. Did you quantify at all how much of the benefit that was to SG&A in terms of gross or per unit, however you want to contextualize that?
Sean Goodman: This is Sean. We didn't quantify the impact but what we are seeing is that some of our insurance claims experience and I am thinking specifically here about workers' comp and medical benefits were lower than last year and that certainly helped our SG&A. But we have not quantified that.
Chris Bottiglieri: Got you. So that's something that you think that would persist, not just like a one-time accrual or true-up?
Sean Goodman: I think it's a one-off for this quarter in terms of the variation versus last year. We expect it to be more stable in the fourth quarter relative to last year. So it's a one-off benefit this quarter versus last year, but it should be more stable in the fourth quarter.
Chris Bottiglieri: Got you. Okay. And then the used system changeover, obviously pretty tremendous growth in Q3. You have very easy compare in Q4. Is there a way to contextualize how much of a headwind that was last year and maybe just frame for us what do you think the underlying same-store sales unit growth is right now and think about projecting outwards, depending on the macro environment?
David Hult: I think when you change, if people are used to using a certain system or software, anytime you change it, it's kind of like you are going back to scratch and starting it new. So I think it took some time for people to get used to it. Not that the underlying business changed. It really doesn't. But the tools that you are using every day to manage that business did. So I think you are seeing some of the traction after three or four quarters of using the software and the employees getting used to that and taking advantage of this where you saw the uptick in sales.
John Hartman: I would also add that that I think our omnichannel piece really wasn't in full gear last year at this point. And we are still probably in the third or fourth inning with it. So as that continues to mature and grow, the combination efficiency of that and our team in the field really getting used to that software is going to garner great results going forward as well.
Chris Bottiglieri: Got you. In those markets where you do have the omnichannel, I think it was like 43% or something like that. How have the used unit comps compared to the markets where you don't have that in place?
David Hult: So what we are noticing and I will answer it this way, much higher conversion rates. I think John mentioned in his script a 20% increase year-over-year. You can kind of see, we have been running as a total company at 10% for the quarter. So we are closing at a higher rate, converting at a higher rate with those 45% of those stores.
Chris Bottiglieri: Got you. Okay. And then finally, just one last big picture question. The gross profits have been down for seven years running, approaching like $1,500 per unit. Is there a way to frame where you think this metric could bottom, either incremental SG&A or private dealer profitability? Or is it just you think you are making so much money in F&I, there really is no bottom? How do we think about the direction of used vehicle gross profits going forward?
David Hult: We thought a year ago, there was stabilizing. It's tough to really answer that. And it really matters geographically where your stores are located because some markets are more competitive than others as far as saturation of number of rooftops. The one positive I would say, we have pretty tough new car margins. We are predominantly midline import, which is a tough thing right now. And we are demonstrating high operating margins and great SG&A. So to me, the takeaway is, regardless of focusing on the negative of the new car margin just how well this model can be efficient, generate income and control expenses at the same time. So that lends a lot of confidence to us as regardless of where it goes we can control our destiny and our growth.
Chris Bottiglieri: Got you. That makes sense. Thank you for the time.
David Hult: Thank you.
Operator: Thank you. Our next question comes from David Whiston with Morningstar.
David Whiston: Thanks. Good morning. I wanted to continue with the incentive discussion. Basically I am just wondering, is there ever a point and I guess it would probably be more applicable to the domestics given that's a smaller part of your business, but is there ever a point where you would say, we are just not going to play this game anymore and exit those franchises? Or conversely, do you ever think about maybe trying to have a more balanced brand portfolio and actually increasing your domestic exposure?
David Hult: I will answer and then John can jump in. Clearly, diversifying the portfolio is our main focus, because all brands are cyclical. So you really want to think about where you are positioned in the country and what brands you have. There is no question we would like to grow our domestic rooftop count. Our domestic partners are much appreciated. We think we make good money with our domestic partners. They make quality products. So we would certainly like to grow with our domestics.
John Hartman: Yes. I think that it's a competitive business and when the incentive targets drop there, you have got to go grab them.
David Hult: David, there are times that we have gone into the month because these targets change monthly, we said this doesn't make sense. We are not going to chase it. So we don't.
David Whiston: Okay. Other question is on the rise in interest rates and affordability which is getting some attention in the press now. On average, when I do the math, 100 bips on a new car is generally about a $14 a month increase in the monthly payment. But maybe what's going on now is perhaps some consumers are getting hit way harder than that, if their credits are not very good and it's more like a $50, $100 plus payment that's just pushing these people either out of the market completely or into used?
David Hult: We haven't seen the interest rates really affecting the consumer lending. The rates have upticked slightly but not to the point where it's costing us volume or shifting customers from new to used. The interest rates, while we are feeling a little bit of a headwind, is really on the inventory side. But we have done a good job managing our days supply yet the carrying cost has gone up year-over-year.
David Whiston: Okay. Thanks.
David Hult: Thank you. Thank you very much. This concludes today's discussion. We appreciate your participation on the call today. Have a great day.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may now disconnect.